Operator: Good day, and thank you for standing by. Welcome to PLS FY '25 Interim Results Webcast Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dale Henderson, Managing Director and CEO. Please go ahead.
Dale Henderson: Thank you, Michelle, and good morning, good evening. Hello, everyone. I'd like to begin by acknowledging the traditional owners on the lands on which our businesses operate, the Whadjuk people of the Noongar Nation and Perth, where we are undertaking a call today, and Nyamal and the Kariyarra people where our operations are located in the Pilbara. We pay our respects to their elders, past and present. Now as many will be aware, the Pilbara region was hit with tropical cyclone earlier last week. This large Cat 5 system presented a very strong threat to all on its way. Now I'm pleased to report for PLS, there were no injuries or major damage from the cyclone, which came very close to our operation at Pilgangoora. Production was disrupted for about 6 days with both readiness ramp up and ramp down within that period. I'd like to thank the local authorities for the professional management of the event and the many resource companies that have pulled together to navigate this challenge. In particular, thank you to Simon Trott and the Rio team for lending us a hand. Lastly, thank you to the PLS team for all of their preparation, readiness, and teamwork. Now moving to Slide 2. The 6-month period ending 31st of December '25, sorry, ending December ' 24 has showcased our robust operational performance underpinned by well-executed project delivery. It was also a half of major milestones. Firstly, we had the commissioning of our whole of ore crushing and sorting facility, the largest of its kind in lithium processing. Secondly, we extended our global footprint of growth options with the successful acquisition of Latin Resources. Thirdly, we further reinforced the group's capital structure through securing a $1 billion RCF supported by major banks locally and abroad. This, of course, has occurred against the backdrop of the ever-evolving lithium market. Now joining me today to walk through the details is Luke Bortoli, our CFO. We are also supported by the wider team who are with us in the room today. Now we know it's a very busy day today with many calls on. So, we're aiming for this call to be 45 minutes. And for those who can't join us, we'll be available to take questions after or please reach out to James. Now I'll begin with a brief presentation before opening the floor for Q&A during the remaining time. Questions from the webcast will be addressed towards the end of the call. Now let's review our strategy and performance highlights. Moving to Slide 3. Our strategy is driven by a clear vision to be a leader in the provision of materials supporting the global energy transition. As many are aware, the lithium market has been dynamic, driven by rapid growth to meet strong underlying demand for lithium products. For PLS, navigating this has required a disciplined approach to capital preservation and capital allocation, working with the market cycle. A key focus of this has been reinvestment back into the base operations to scale and reduce operating costs. This flows to widening realized margin, increased leverage for higher-priced environments and, of course, being more cycle resilient. FY '25 to date has demonstrated our ability to effectively execute on the strategy. A key highlight has been the expansion of our operational base, notably the development of the larger, lower operating cost P1000 facility. The integration of this facility remains a critical focus. Some of this work commenced in the December quarter and will continue through the March quarter as we target exiting the financial year at nameplate capacity. As highlighted in our FY '25 guidance, we expect the second half of this financial year's production to be weighted towards the latter part of the year due to the P1000 ramp-up. Now with this context in mind, let's now move to the highlights for the half-year period. Turning to Slide 4. We released our December quarter update recently. And that, of course, touched on many of the highlights for the half year. So, to recap those, we achieved record production volumes of 408,000 tonnes being a 28% increase on the prior period or 88,000 tonnes step-up. We generated $426 million in revenue and $74 million in underlying EBITDA, reflective of the lower market pricing, yet also supported by the strong operating cost performance. We concluded the period at the end of '24 with a robust cash position of $1.2 billion. The Board of PLS did not declare an interim dividend payment for the first half, in line with the group's capital management framework and to preserve balance sheet strength. During the period, we also implemented the P850 operating model, which is expected to deliver a cash flow improvement of approximately $200 million in FY '25. This initiative further underscores our commitment to operational excellence and highlights our resilience and flexibility to adapt to market conditions. With regards to projects, it's been a huge year-to-date. The P680 crushing and sorting plant was commissioned and is now fully operational, and the P1000 project reached a significant milestone with the first ore being achieved at the end of January. And I'm pleased to say that the ramp-up continues to proceed to plan. Now it's important to note that we will continue ramping up this extra processing capacity of the P1000 project through the March quarter and into the June quarter which will result in the second half production being weighted to the latter part of the year. We look forward to demonstrating the benefits of our expanded and improved operating platform in FY '26 as we expect to yield improved unit cost and improved margin expansions. Now I can confirm our FY '25 guidance range remains unchanged. During the half, we also commenced the acquisition of Latin Resources. This acquisition represents a major strategic milestone for the company. From this point forward, our next steps include targeted exploration, optimizing the asset through studies to unlock shareholder value. We will continue to invest modestly in this asset to ensure it progresses appropriately in anticipation of supportive market conditions. This measured investment approach reflects our disciplined capital allocation strategy. Our unwavering focus on cost reduction and fiscal prudence remains a cornerstone of our business, honed over the 8 years of operational pursuit. We are confident in achieving improving cost performance in FY '26 as we capitalize on the efficiencies generated by our expanding operational platform. Stepping forward to Slide 5. As it relates to sustainability, we have continued our focus in this regard with some notable achievements in the last 6 months. As it relates to safety, our December quarter demonstrated some fantastic safety performance stats with TRIFR improving from 4.03 to 3.58. This was care of no recordable injuries for that period, which was, sorry, for the December quarter, which is our best quarterly performance in over 3 years. So well done to the operations and projects team for that fantastic outcome. As it relates to power, we progressed our power strategy, moving away from diesel by installing and commissioning our gas generators in the period, and we expect to complete the installation of our battery component in the coming weeks. We also secured an AA ESG rating from MSCI, reinforcing a positive trajectory in ESG. So, a great set of outcomes across the board. Now moving to Slide 6. As I mentioned, we are pleased to complete the acquisition of Latin Resources, and this finalized just the other week, early in calendar year '25. This transaction marks a significant strategic milestone in PLS' journey, expanding our global footprint as a major lithium material supplier. With the acquisition complete, our team has now initiated a comprehensive review to formulate and optimize asset development plan. Key areas of immediate work include targeted exploration to expand the resource and optimizing the engineering work completed to date, including integrating our IP and learnings from Australia. We have forecast second half FY '25 costs, including approximately $15 million in one-off transaction expenses and $30 million to $35 million in operational expenditures. We'll update on our proposed development plan in time. However, I can reassure you that our strategy of measured market-aligned investment will continue as we've pursued throughout our history today. Now with that, I'll hand over to Luke to take us through the financials.
Luke Bortoli: Thanks, Dale, and good morning to those on the call. Please turn to Slide 8 of the presentation for a summary of the group's key financial metrics for the half year-ended 31 December 2024 for H1 FY '25. H1 FY '25 was a period of strong underlying performance, notwithstanding the impact of lower prices period-on-period. For the underlying Pilgangoora operation, the group reported revenue of $426 million and positive underlying EBITDA of $74 million. We also reported a positive cash margin from operations of $41 million, reflecting the strong cash generation of the business even at lower average realized prices. Our ending cash balance remains strong at $1.2 billion. Turning to physicals, as Dale mentioned, we reported record production volume of 408,000 tons of spodumene concentrate in H1 FY '25. This was 28% or 88,000 tons higher than the prior corresponding period. As mentioned in the December quarterly, the step-up in production volume achieved in H1 FY '25 was underpinned by a full period of operating with the P680 Primary Rejection Facility and recovery improvements across both plants. Sales volume of 419,000 tons in H1 FY '25 was 37% higher than the prior corresponding period, enabled by the higher production volume. Average realized price declined from USD 1,645 per ton in H1 FY '24 to USD 688 per ton in H1 FY '25, a 58% reduction. This was the key driver of the decline in group revenue and profitability with revenue of $426 million, 44% lower than the prior corresponding period with some offsetting benefit from the higher sales volume. Moving down the P&L, as I mentioned earlier, underlying EBITDA was $74 million, a reduction of 83% on the prior corresponding period. Similar to revenue, the decline in EBITDA primarily reflected the impact of lower realized prices. Underlying loss after tax was $7 million, a 102% reduction on the prior corresponding period, reflecting the same drivers as underlying EBITDA as well as higher depreciation expense with a larger asset base on completion of the Primary Rejection Facility. Statutory loss after tax was $69 million, a 132% reduction on the prior corresponding period. Statutory results reflect the performance of the Pilgangoora operation with the addition of the group's investments in its new growth platforms, the PPLS JV and the Mid-Stream Demonstration Plant Project. Turning now to Slide 9. Slide 9 provides further detail on the group's profit and loss, including the key metrics used by management to assess the performance of the business. Operating costs, excluding depreciation, which is equivalent to CIF costs, increased by 10% relative to the prior corresponding period to $303 million in H1 FY '25. This increase in costs supported the 28% increase in production volume, showing the benefits of operating leverage in the business. General and administrative expenses of $30 million reduced by 7%, demonstrating the group's ongoing focus on cost efficiencies while supporting the expanded operation. Exploration and feasibility expenses of $13 million was 13% higher than the prior corresponding period, mainly due to water exploration drilling, again to support the expanded operation. Net finance income of $3 million was 93% lower than the prior corresponding period, mainly due to interest income, which reduced in line with the group's lower cash balance. Turning now to Slide 10. On an FOB unit operating cost basis, excluding royalties and shipping, unit costs were $614 per ton in H1 FY '25, a pleasing 11% improvement on the PCP. This was driven by higher sales volume, offsetting marginally higher production costs in line with the P680 expansion. On a CIF basis, unit operating costs were $724 per ton in H1 FY '25, a 20% reduction on the prior corresponding period, driven by lower fault costs and lower royalty costs as a result of the aforementioned decrease in average realized price. We note that the second half of FY '25 will see temporarily higher unit costs due to scheduled downtime for the tie-in and ramp-up of the P1000 project before moving into steady state in FY '26. What is pleasing for us is that the operation has already shown a decline in unit costs over FY '24 and now in H1 FY '25, which is proving up the benefits of the Pilgangoora expansion and investment. Turning now to Slide 11. As a headline comment, apologies, Slide 11 shows a summary cash flow statement for the 6 months ending 31 December 2024. As a headline comment, the group ended the year with a strong cash balance of $1.2 billion despite lower prices. It also generated a positive cash margin from operations. Cash margin from operations measured as receipts from customers less payments for operating costs was $41 million in the period. Moving down the cash flow statement. Total operating cash flow was $40 million. This reflects the group's corporate costs, exploration and feasibility expenses and interest received net of other costs. In this period, the group received a net income tax refund of $46 million. The net tax refund was a consequence of paying higher PAYG installment rates at a higher installment rate than the final tax payment amount in FY '24. Moving to investing cash flows. Total investing cash flows of $443 million in H1 FY '25 was driven by CapEx spend largely on capitalized mine development, sustaining capital, growth CapEx being the P680 and P1000 projects as well as the purchase of exploration tenements. Financing cash outflows were $52 million, primarily relating to lease payments of $32 million, interest and other finance costs of $17 million and transaction costs of $13 million. Interest expense of $17 million reflected interest on borrowings of $9 million and lease interest of $5 million plus other finance fees of $3 million. Transaction costs of $13 million are nonrecurring and mainly due to RCF debt facility establishment fees. As announced at the December quarterly, the net change in borrowings during the period was broadly neutral with $375 million of debt drawn from the group's $1 billion revolving credit facility to refinance the group's previous loan facilities. Turning now to Slide 12. Slide 12 provides a waterfall chart representation of our H1 FY '25 cash flow statement. Throughout the half, we saw a total change in cash or cash outflow of $455 million, with cash declining from $1.6 billion as at 30 June 2024 to $1.2 billion as at 31 December 2024. The $455 million reduction in cash during the half was primarily driven by planned capital expenditure as shown on the chart. As mentioned, our cash margin from operations of $41 million in the half reflects the strong cash generation of the business, pre-capital expenditure even at today's low average realized prices. Cash margin from operations less ongoing capitalized mine development costs and sustaining CapEx was negative $61 million. Turning to investing cash flows. Total spend of $436 million was made on CapEx and the purchase of exploration tenements. CapEx on an accruals basis was $358 million and comprised growth CapEx related to the completion of P680 and the continuation of the P1000 expansion project of $163 million, infrastructure and projects of $92 million, mine development costs of $84 million and sustaining CapEx of $18 million. There was also $12 million of investing cash outflows related to the acquisition of tenements from Kairos Minerals Limited and other small tenement acquisitions. The difference between cash spend and accruals in the period relates to the timing of cash payments with a number of P680 and P1000 cash payments occurring in H1 FY '25, which were accrued for in the previous period. We note that for the FY '25 period, CapEx is weighted to the first half with all of the P680 and the majority of the P1000 CapEx spend now largely spent with construction largely complete. CapEx spend is tracking in line with guidance. Turning now to Slide 13. The group is in a strong cash and liquidity position with cash of $1.2 billion and undrawn liquidity of $625 million as of 31 December 2024. This equates to a total of $1.8 billion of liquidity to support our ongoing operations. As mentioned earlier, debt of $375 million was drawn from the group's $1 billion revolving credit facility to refinance the group's previous loan facilities on improved terms. On an annualized basis, the net interest cost of the group's $375 million drawdown is relatively immaterial at less than $2 million, assuming the funds are placed on deposit. The group continues to maintain a prudent approach to balance sheet management with a number of ongoing cost efficiency programs in place internally as reflected in the declines in costs in H1 FY '25. Turning now to Slide 14. Slide 14 sets out our summary of the balance sheet. As of 31 December 2024, the group recorded net assets of $3.2 billion, relatively flat on the prior period. This flat net asset outcome period-on-period largely reflects a decline in cash that was spent on property, plant, and equipment due to planned capital expenditure and a reduction in our payables from the settlement of accruals. There are a couple of items to note on the balance sheet. The increase in inventories reflects an increase in ore stockpiles of $27 million, in line with increased production volume rates during the period, higher consumables of $10 million, partially offset by lower spodumene concentrate stockpiles of $2 million. The reduction to financial assets on the balance sheet primarily reflects a $16 million noncash decline in the fair value of the group's call option to acquire a 12% shareholding in the POSCO joint venture, which has a carrying value of $40 million at 31 December 2024. The reduction in the equity accounted investment reflects a $22 million share of loss from the group's 18% shareholding in the POSCO joint venture with a carrying value of $43 million as of 31 December. The increase in lease liabilities is mainly due to new lease equipment added during the period in support of the transition to an owner-operator mining model. These liabilities generally have a 5-year payback period with a balloon payment at the end of that period. Overall, the group's net asset position remains very strong at $3.2 billion period-on-period. I'll now hand it back to Dale.
Dale Henderson: Thank you very much, Luke. And just to offer a few comments on the market, moving to Slide 16. The lithium market is evolving quickly, fueled by technological breakthroughs, government policies, and the global shift towards cleaner energy, but it's been tumultuous as these growth drivers have continued to shape the market. As mentioned in our December quarterly results, milestones for the last calendar year were significant. For outright lithium demand, global demand surpassed 1 million tonnes LCE for the first time, growing 30% year-on-year at care of benchmark. As it relates to the key subsets of demand as it relates to EV sales, global electric vehicle sales reached 17.1 million units for '24, up 23% year-on-year, so an increase of actually 3.4 million units from the prior year that care at motion. And as it relates to energy storage, '24 was a year of immense growth. Demand for energy storage systems or ESS, surged by 53% year-on-year with 205 gigawatt hours of global deployments as reported by Rho Motion. As we stepped into this calendar year '25, well, it started strongly. As it relates to EV sales in January, there's been 1.3 million units, which reflects an 18% year-on-year increase. And that spread, what's pleasing is it's spread geographically broadly. So, China recorded a 12% year-on-year increase; North America, 22%; and Europe, 21%. Now beyond those indicators, there are more indicators of further change underway in the industry. So, as it relates to the automotive sector and specifically solid-state batteries, at the second Annual China, all Solid-state Battery and Development Summit, BYD announced that its first EVs with solid-state batteries are expected in '27, with CATL also slated to begin production that year. As it relates to the cost competitiveness of EVs, Rho Motion reported that in the calendar year '24, Chinese EVs were 8% cheaper than internal combustion engine alternatives. So of course, we believe this is a key driver of the adoption rate, and it could well be a potential sign of an accelerated global shift. As it relates to trucks, Bloomberg reported China sold nearly 80,000 zero-emission trucks last year. This is a doubling on the prior year's figures, vastly surpassing expectations. This was made up predominantly of heavy-duty battery electric rigs. So, as you can hear, there is a lot going on in the auto industry. In fact, this has actually been confirmed through a survey where according to Alex Partners, the annual survey, which campers more than 3,200 executives, the automotive sector is expected to be the most disrupted major industry, surpassing health care, technology, and financial services. Now beyond the auto industry and as it relates to the broader energy transition, Bloomberg NEF reported that the energy transition investment exceeded more than $2 trillion for the first time in 2024. They noted a marked difference between investment in mature emerging sectors of the clean energy economy, technologies that are proven, commercially scalable, and established business models like renewables, energy storage, electric vehicles, and power grids accounted for the vast majority of investment in '24. These sectors drew in more than $1.93 trillion last year, growing 14.7% despite hindrances from policy decisions, higher interest rates, and expected slower consumer purchasing. So, a huge step-up investment. Now as it relates to lithium, well, lithium is, of course, on the right side of this disruption as a key enabling technology, unlocking the possibilities of not only the auto industry, mass energy storage, and robotics. Although the cycles have been extreme for this nascent industry, the directional uptake is incredibly positive, particularly for established operators such as PLS. Now moving to PLS and narrowing the focus to the recent market movements. I can confirm that we have seen price support around current levels. And when we look backward, there has been an approximate 7% improvement in spodumene pricing over the past 3 months. But of course, we're a long way off the consensus long-run average expectations which we believe will be fulfilled in time. But I hope you can tell from this commentary, that this is an exciting market to be in. The demand drivers are incredible. And it seems that every day, there are more articles on the paper of more product uptake. Now as it relates to Pilbara or PLS, I'm incredibly excited for our business position. In fact, I'd go as far as to say I've never been this excited before. The reason for that is although the market cycle has been challenging, we have prepared for it. And the preparation for the lower part of the cycle for PLS has been years in the making. And where we find ourselves is, frankly, an incredibly strong position here of the operating platform, which we spoke about today, which I believe is the next generation of processing capacity, which stands to not only give us more scale but of course, takes us to the left of the cost curve. This is a fantastic investment, which positions us for the long term. Outside of that, well, of course, it's supported by that really strong balance sheet that Luke spoke to, which puts us an incredibly strong standing to navigate the future cycles. Now then beyond that, well, we've got a bear view of growth options, which are within our control, and we can look to bring those additional accretive growth options to market when that makes sense for the market and more importantly, when it makes sense for PLS and our shareholders. So, from my perspective, I think we are incredibly well positioned and positioned to thrive. And as I say, although this part of the cycle is tough, what that's done is it's made life much tougher for the competition, many of whom have exited. Meanwhile, those demand indicators I mentioned a moment ago are showing incredible strength across the board. So, we think the conditions are ripe for a very bright future for PLS, and we look forward to the inevitable changes in pricing. And hopefully, it comes sooner than later. Before we move to questions, just some final closing comments from my side. FY '25 has been a pivotal year for PLS as we complete our major expansion cycle at the Pilgangoora site and position ourselves for enhanced efficiency and lower cost operations. Upon completion, Pilgangoora will deliver improved cycle resilience and margin expansion. We are currently in the P1000 ramp-up phase, and we are pleased with progress despite the minor impact of the recent cyclone shutdown. And while ramp-up periods can temporarily affect run time and recoveries, we have factored these considerations into our guidance. Beyond Pilgangoora, as I mentioned, we are steadily advancing our growth platforms, including the Colina project, our JV with POSCO and the Mid-Stream Demonstration Plant, which will resume construction with the additional WA government support. The group remains focused on executing our strategy, navigating the inevitable cycles while strengthening our leadership position in lithium. This is anchored by our ongoing improvements in long-term cost performance, maintaining a strong balance sheet and a disciplined market-aligned approach to capacity growth. Thank you very much for your time and attention today. And with that, I'll now hand back to Michelle to proceed with Q&A.
Operator: And our first question is going to come from the line of Al Harvey with JPMorgan.
Alistair Harvey: Just wanted to get a bit more on the Colina project. I suppose just wanted to get more of a sense around expectations of scope and timing on the study review. I mean, clearly, there's a lot of exploration upside there. So, I also wanted to get a bit of a sense on your gut feel on whether it's sized correctly at that 500,000 tonne per annum rate that LAT Resources had. I suppose, just given the current market environment, how that plays into your thinking?
Dale Henderson: Thanks for the question. As it relates to the deeper evaluation of where we can take that asset, we are really at the start of that deeper review given that we needed to get the transaction complete before that the opportunity to get into all of the detail was available. So that process has teed off. So yes, deep review is underway, and we'll look to create the development plan for that asset. As to the potential of the asset, we're optimistic it's going to grow into an impressive asset over time. There's certainly some good indicators of it. It was part of the attraction for PLS to acquire the asset. And I'd call out that the short history of the Colina deposit, it's pretty much 2 years of drilling only. So, credit to the Latin Resources team in 2 short years, they have demonstrated some big step-ups in resource and reserve. And we like to think we can continue that trend. Certainly, some of the tenements show some good signs. So, I certainly like the idea of building out the resource and reserve. And then, of course, having done that, it's about matching and optimized asset strategy for that, i.e., processing plant. And of course, within that, we will consider a staged approach as the Latin team did. So much more to come on this space. As to a more fulsome update, we'll come back in terms of when we will commit to that. But as I say, at this stage, we're just early in the review.
Operator: And our next question is going to come from the line of Austin Yun with Macquarie.
Austin Yun: Just a couple of questions from me, please. The first one is just, you mentioned the mining optimization. I was just keen to understand if there's any thoughts on a delay of stripping activities, which was kind of a strategy deployed in the last market downturn. I'll come back with the second one.
Dale Henderson: Thanks, Austin. As it relates to our mine planning, at this moment in time, the mine plan we're pursuing is optimized for the long term. As such, we've not been deferring strip. We've been effectively a business-as-usual approach, as to the possibility of minimizing strip and deferring that strip to later, yes, the team will continue to evaluate that possibility, but we haven't made a decision to go in that direction yet. But we do have that lever available to us if we choose to, which, of course, would flow through to a reduction in operating costs, albeit temporary.
Austin Yun: The second one is on the growth. Given your constructive market outlook, would you consider any other countercyclical investment in the backyard given that the Colina takeover or Latin Resources takeover is completed?
Dale Henderson: Yes. Thanks. More growth is not off the cards. So, it's definitely possible, and we continue to run the ruler on opportunities. And of course, this part of the cycle is a more probable period to be able to acquire assets at a good valuation. So, we'll continue to run the ruler. However, we have a full plate. So, the P2000 expansion that we have, of course, the Pilbara asset is a huge step-up and available capacity. And of course, then we've got the Colina project. So, we have a full plate. We have to just balance the financials for the firm. And one thing we're not prepared to compromise is that strong balance sheet. So that is the tension.
Operator: And our next question is going to come from the line of Levi Spry with UBS.
Levi Spry: I just got off a call where the downstream wasn't going so well. So, I was actually hoping to get an update on how your downstream with POSCO is going and what the next steps are there in terms of run rates and assessing your option to increase your equity share in it?
Dale Henderson: Sure. Thanks, Levi. So, as it relates to the JV with POSCO, we've been very happy with the progress that's happened to date as it relates to construction complete and ramp up. and we've provided some color around that in the December quarter update. But key milestones, which are intrinsic are the volume rates being achieved have been very healthy for the first train. So happy about that. As it relates to the qualification process, POSCO has got a bevy of Tier 1 buyers, which are in different states of qualification, some of which have already come through for Train 1. In parallel, Train 2 is in a state of ramp-up. And what we hear that's going well as well. All being said, however, POSCO has from inception, given quite, well, they've given a runway of 12 to 18 months. So, from the inception, they've had a very deliberate plan of providing time to the optimization process. So, they thought deeply about that, and they are on track with that. So, so far, so good. As it relates to the decision around the additional 12% and then stepping up on the equity, we've got time to consider that. That would be most likely later in the calendar year. But of course, it's subject to the qualification timing of both those trains. Now of course, we're in close contact with POSCO, so we'll continue to monitor that. But we've got some, quite some time before we have to consider that decision. And when we consider that decision, obviously, we'll weigh it up at the time based on the performance we're seeing out of the processing plant, the outlook for the market and our financial position at that time. Does that answer it?
Levi Spry: And if I can be a bit cheeky and just think about CapEx for FY '26 in the context of your balance sheet. Can we assume similar type run rates for the spend at Salinas studies and drilling? And what else is there, I guess? And potentially, how would you be thinking about funding Salinas if an FID was sort of 18 months away?
Dale Henderson: Yes. Thanks. Yes, too early to provide a steer on any of that, Levi, as it relates to the Aussie operation, obviously, we've gone through a very CapEx-intensive period. So that's behind us. That being said, there is a trial of some CapEx to finish off. And of course, we'll update the market in due course. As it relates to the Colina project, and as I mentioned a moment ago, we're really at the start of the deeper review of formulating that development strategy. So, although some modest drilling, which we've flagged today is an absolute no-brainer at this point in time, I wouldn't want to preempt what we do next year at this early stage.
Operator: And our next question is going to come from the line of Jonathon Sharp with CLSA limited.
Jonathon Sharp: Just a question on Salinas and Project P2000. How are you going to schedule that in terms of which comes first? How far after would you execute on the second one? Just some details on that would be great.
Dale Henderson: Jonathon. As we think about which growth extension goes first, there's a number of factors to weigh up. So, one is obviously the economic return proposition, so total funding requirement versus expected return. The other factor relates to approvals timing. And in both cases, there's a different set of approvals to pursue. So that's, of course, the key bearing. And the last one, which is a bit of a question mark, relates to offtake and partnership, i.e., does PLS involve a group in one way, shape or form and either of those growth options. And depending on the partner and the details, well, that could have a bearing as to which asset timing, et cetera. So those 3 factors have to be weighed up with each. So yes, certainly couldn't give a steer at this point on what goes first.
Jonathon Sharp: And just a second question, just on the recent cyclone. I know there was a 6-day production disruption. Just how does this compare to previous weather-related disruptions? And are there any infrastructure changes or anything that you're planning to do in the future to maybe mitigate? Is there anything you can do?
Dale Henderson: Yes. Thanks, Jonathon. So yes, over the years, we've had a few cyclones, but I have to say the last couple of years, for Pilgangoora, it's been relatively light touch. As to our readiness, of course, the processing plant and camps, et cetera, are all designed and certified for the required wind loading for that region. So well prepared for that and well prepared in terms of the various procedures and management strategies and well done to all the team for how well they executed that. And of course, Cyclone earlier, it was a beast, Cat 5, it doesn't get any bigger. And the trajectory at one point was coming right for Pilgangoora; so obviously, we took comfort in that readiness. To your question around learnings flowing from this recent cyclone, absolutely, there will be some learnings that we're going through that review. But at this early stage, there is no sort of demonstrable changes required. It's more improvements around the edges.
Unknown Analyst: We're going to take some questions from the Q&A on the webcast. The first question is reports recently indicate CATL restarted one of the Lepidolite mines. In light of the fact, they had halted operations when the price of SC was higher, what do you think their intention is starting a loss-making asset in the current pricing environment?
Dale Henderson: Great question. And as it relates to CATL bringing that Lepidolite mine back online, why have they done that? Obviously, we don't have the answer only CATL does. But I was to hazard a guess, in the case of CATL, they have a more elongated supply chain where, of course, they are a battery maker. They will likely be weighing up the net benefit of bringing that online as it relates to inventory within their system, et cetera. So, we have, what we have seen with some of these integrated producers historically is a desire to run these operations and service other parts of their supply chain. A hazard a guess that maybe this is what's occurred here. I can't be sure. But I would say, I think this is a positive sign overall. As pricing declined from '22, it was a natural expectation that there would be curtailments, and we saw at least 8 that we recognized during the course of last calendar year in terms of supply coming out of the system. Supply coming back on, I think, is an indicator of potentially a narrowing or a shortage of inventory and/or expectation of pricing rising. So, when this came out, I took this as a positive. And to me, I think it supports the thinking around potential price appreciation, but only time will tell.
Unknown Analyst: One final question before we run out of time. As demand for high-density batteries grows, how does Pilbara Minerals low impurity spodumene offer a competitive cost advantage in the production of ultra-low impurity lithium metal? And how does PLS engage with downstream refiners to optimize material for different end users?
Dale Henderson: Great question and a big one. But I'll start with, I think the, we're seeing some really great evidence of high-density batteries, as alluded to in this question and referenced in the narrative, BYD announcing product distribution of '27 for solid-state batteries. Now the good news there is that, that requires a hydroxide feedstock and hydroxide feedstock, hard rocks and specifically spodumene concentrate is what our customers tell us a preferred feedstock for hydroxide pathway. Why that is, is, firstly, it's a high lithium content in terms of spodumene concentrate. And secondly, it's a very clean source of lithium units, which, therefore, better enables the chemical processor to achieve those very strict standards required for hydroxide manufacturing. So, if the trend is to more higher density and the likes of where the hydroxide demand increases, well, I think we're incredibly well placed. So, but we watch with interest because there is a war amongst the battery chemistries at different price points, and there's a lot yet to play out, we think. Okay. Thank you very much for everyone who's dialed in today and also for the webcast questions. And thank you to all our shareholders and all our stakeholders. The first half of this financial year has been a cracking start to the year, some fantastic milestones on plan delivery with projects and operations. The group is going incredibly well and navigating what is a challenging market. Thank you to all, and we look forward to future catch-ups. Thank you.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.